Operator: Greetings and welcome to Digital Brands Group, Inc. Fourth Quarter and Full Year 2023 Earnings Call. At this time, all participants are on a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce John McNamara, Investor Relations. Thank you, you may begin.
John McNamara: Thank you. Good afternoon everyone and welcome to the Digital Brands Group fourth quarter and fiscal year 2023 earnings conference call and webcast. With us on the line from management is Chief Executive Officer, Hil Davis. Hil will begin the call with an overview of the quarter and the full year, and then we will open up the line for questions. As usual, we would remind you that this call may contain forward looking statements as defined in Section 27A of the Securities Act of 1933 as amended, including statements regarding, among other things, the company's business strategy and growth strategy. Expressions which identify forward-looking statements speak only as of the date the statement is made. These forward-looking statements are based largely on the company's expectations and are subject to a number of risks and uncertainties, some of which cannot be predicted or quantified and are beyond the company's control. Future developments and actual results could differ materially from those set forth in these forward-looking statements. In light of these risks and uncertainties, there can be no assurance that the forward-looking information will prove to be accurate. With that, I'll turn the call over to Hil Davis. Go ahead, Hil.
Hil Davis: Yeah. Good afternoon, everyone, and thank you, John. The fourth quarter was the end of Sundry's bottom, which our first quarter results will reflect as well as our Q2 wholesale bookings. Despite lower revenue contribution from Sundry in the fourth quarter, we almost achieved breakeven net income due to our cost savings excluding non-cash expenses. Based on first quarter wholesale shipments and second quarter wholesale bookings, we're excited to see revenue growth meaningfully re-accelerate. This increase in the revenue trend will be coupled with a significantly lower operating expense structure which you can already start to see in Q4 and you saw in Q3 which will accelerate in Q1 and going forward. So with that, let's discuss the fiscal year and fourth quarter results. Net revenues increased 6.8% to $14.9 million compared to $14 million a year ago. This excludes revenue from Harper & Jones as it was spun out in the second quarter. Please note that these results exclude the -- reference also for Harper & Jones for the third quarter ‘22 and ‘23. Importantly, this represents the lowest point of Sundry's wholesale revenues in the second half of 2023 versus the first and second quarter wholesale bookings for 2024. And also, please note that this includes some non-cash charges we had to take, which I'll discuss more in the fourth quarter numbers. Gross margin increased 10.2% to $6.5 million compared to $5.9 million. Gross profit margins increased to 43.9% from 42.5% a year ago, and this also includes significant non-cash charges that we took as part of the audit process, which we’ll not incur going forward. G&A expenses, including non-cash items, decreased 12.7% to $14.3 million compared to %16.4 million a year ago. G&A expenses excluding non-cash item expenses decreased 35.7% to $8.8 million compared to $13.7 million a year ago. The G&A expenses included $5.5 million in non-cash expenses associated with D&A and stock option expenses, a lot associated with the Sundry acquisition. Sales and marketing expenses decreased 18.5% to $4 million compared to $5 million a year ago. Sales and marketing expense ratio was 27.1% compared to 35.4% a year ago. Net loss per share attributable to common shareholders was $10.2 million or $20.46 per share compared to a loss of $38 million or $1,233.10 per share. Please note that the share count was only 422,000 shares on average during the fourth quarter and the year. So these numbers are significantly impacted by the low share count. Net loss excluding non-cash charges and add backs was $8 million compared to a loss of $28.8 million ago. Let me repeat that. The non-cash charges and add backs [dollar] (ph) loss was $8 million compared to a loss of $28.8 million a year ago. Net loss per diluted share, excluding non-cash expenses and add backs was $18.81 per share, compared to $934.38 per share a year ago. For the fourth quarter, the results are as follows. Net revenues were $2.8 million compared to $3.4 million a year ago. This includes the low point of Sundry's wholesale revenue based on our taking them over and changing the design team. And we've since seen a significant increase in first and second quarter wholesale bookings and shipments. This also includes a non-cash contra revenue adjustment of $0.7 million from the Sundry acquisition. Excluding these, net revenues would have been $3.5 million versus $3.4 million a year ago, despite the fact that Sundry struggled in the second half of this past year. Gross profit decreased zero point -- gross profit was $0.5 million compared to $0.6 million a year ago. This includes non-cash expenses of $0.3 million due to some write-downs that the auditors wanted us to take, mostly associated with the Sundry acquisition. Gross profit margins decreased to 18.3% from 19% a year ago, which again includes the non-cash expenses and the net revenues and cost of goods sold. Excluding these charges, gross profit margin would have been 43.5%. G&A expenses, including non-cash items, decreased 30.6% to $2.2 million compared to $3.2 million a year ago. I think this gives you an idea of our leverage on our G&A line and also what will happen as revenues accelerate given this lower G&A cost. Sales and marketing expense decreased 13.4% to $0.8 million compared to $1 million a year ago. Net loss per diluted share attributable to common shareholders is $3.7 million or $8.76 per share, which includes non-cash expenses. That's compared to a loss of $15.8 million or $511.54 per share. Excluding those non-cash charges of $3.1 million in the fourth quarter, all due to the audit, was compared is -- our net loss was $0.6 million, or $600,000, excluding non-cash charges. And that's compared to $19.2 million a year ago. And that's on substantially low revenue associated with the Sundry turnaround. Net loss per diluted share, which was 424,000 shares, so please keep that in mind, was $1.48 versus $621.22 a year ago. So as you can see, our revenues were negatively impacted by the contra revenue adjustments, cost of goods sold as well. And then when you back out all the audit non-cash charges that we took as part of the audit, we lost $600,000 on low revenue for us due to the Sundry turnaround. In concluding, we are excited to announce our first quarter earnings in May, which we believe show the strength of the business between wholesale shipments and bookings. We'll also have the preliminary results from our outlet store opening in Allen, Texas this weekend. As we have stated, 2024 is the year we expect to experience the inflection point in our business. Thanks, everyone, for their time. I do have one calling question that I would like to talk about. We got a question on why [we have to be] (ph) filing on Friday. The first reason in that it is good corporate governance. The second is, this was the last day of our 60 day lookback period, which we're able to catch the highest price of the -- of our stock ending that day. I think that's really important. We waited until the very last day to do it. And this gives us option value in case anything were to happen and we needed cash versus filing the next one. So it's good corporate guidance. We took advantage of the high price on the 60-day lookback period. And as investors, this is what you'd want us to do. The other option, I guess, is if we needed cash in two or three or four, six or nine months, we could file an S-1. But we thought this was a much better use of being able to take advantage of good corporate governance and a high lookback period price. With that, I'll open it up to the Q&A, please.
Operator:
Hil Davis: That's it. I appreciate everyone's time, and we'll talk very soon. Everyone have a good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.